Operator: Ladies and gentlemen, thank you for standing by and welcome to the Frontier Communications First Quarter 2020 Results Conference Call. Please be advised that today's conference may be recorded. 
 I would now like to hand the conference over to your first speaker today. Mr. Sheldon Bruha, Executive Vice President and Chief Financial Officer. Thank you. Please go ahead, sir. 
Sheldon Bruha: Thank you, and good afternoon, everyone. At the outset, I'd like to inform you that the business update presentation is available in the Webcast and Events section of our Investor Relations website, which can be found at frontier.com/ir. 
 During this call, we will be making certain forward-looking statements. Forward-looking statements by their nature address matters that are uncertain and involve risks, which could cause actual results to be materially different from those expressed in such forward-looking statements. Please review the cautionary language regarding forward-looking statements found on Page 2 of the presentation. 
 On this call, we will discuss certain non-GAAP financial measures. Please refer to the presentation for how management defines these measures and certain shortcomings associated with these measures. Reconciliations of these non-GAAP measures to the closest GAAP measures can be found in the presentation. 
 I will now hand it over to Rob Schriesheim, Chairman of the Finance Committee of the Board, who will lead off the presentation of the quarterly business update. 
Robert Schriesheim: Thanks, Sheldon. Thanks to our stakeholders, including our noteholders for listening to our prerecorded review of our first quarter results. Let me start by thanking our creditors, particularly our noteholders, for supporting the company during this process and working together in a collaborative and constructive manner as we move forward. 
 We're all focused on managing this process as expeditiously as possible. And as fiduciaries of the company, we are equally focused on concurrently optimizing enterprise value. Today, I'll provide an update on the overall business, some context and our key restructuring and operational priorities. Then I'll hand it over to Bernie to provide more detail on our current operations, go-forward management initiatives and a review of initial successes to date. 
 Lastly, Sheldon will cover our Q1 results in greater detail and provide an update on the Northwest sale and associated stranded cost reduction initiatives. 
 Opening with Slide 7, we're focused on driving value for our stakeholders throughout this restructuring process with the following key overarching goals, managing an expeditious restructuring process, progressing and implementing an operational improvement plan and maximizing optionality for the company as it evaluates and pursues strategic alternatives, including its reinvestment plan and asset reconfiguration opportunities. 
 Turning to Slides 8 and 9. I'd like to provide an update on the 2 distinct groups of work streams in process. This includes activities undertaken and milestones achieved to date as part of the overall financial restructuring process as well as what has been executed upon or is underway as part of implementing the ongoing operational turnaround of the company. 
 On the left side of Slide 8, since filing for bankruptcy with an RSA supported by over 75% of the unsecured bondholders, the company has closed the sale of the Northwest space, commenced the management selection process, delivered on 3 key RSA milestones while being well on its way to delivering on the 8 RSA deliverables, and we filed change-of-control applications with 14 state public utility commissions or PUCs. 
 In addition, on the right-hand side of Slide 8, covering the operations of the business, we've implemented several initiatives to reduce consumer churn, drive consumer net adds and reduce video content costs. These are paying off, as Bernie will show. We've also engaged in detailed discussions with our wholesale customers to transform our relationship with these key accounts. 
 Finally, we're pleased to say that we kicked off a new fiber-to-the-home pilot to achieve 40,000 to 60,000 incremental fiber-to-the-home passings in 2020. We plan to use these to build the appropriate process for a broader reinvestment program and to collect key inputs and learnings to help the company better target and execute on these builds in 2021 and beyond should the future owners wish to pursue this strategy. 
 Slide 9 shows a time line of the various activities and milestones on both the restructuring and operational work streams to date. 
 Moving to Slide 10. We continue to make progress in the first quarter. This included generating over 10,000 positive fiber net adds and reducing our consumer churn to 1.8% versus 1.99% same quarter last year and 1.93% in the prior quarter. 
 We are driving costs out of the business with adjusted operating expenses reducing by $78 million over the last 12 months. As Sheldon will discuss, our adjusted EBITDA was $783 million, an increase of 1.2% or $9 million from the fourth quarter of 2019. We also received $1.35 billion in gross sale proceeds from the sale of the Pacific Northwest assets on May 1, 2020, meaningfully enhancing the company's liquidity. 
 Moving on to Slide 11. As initially presented to the unsecured bondholders in January 2020, the broad strategic framework is to transform the company from a legacy service provider to a next-generation broadband service provider, leveraging cutting-edge fiber infrastructure. Executing on this enterprise framework needs to occur in parallel along 3 axes. First, we're actively working to stabilize and repair the existing business by executing on initiatives that we currently believe will realize over $110 million of EBITDA uplift in 2020. 
 If you recall, we initially presented a plan that showed an EBITDA uplift in 2022 of about $400 million versus the then current trajectory of the business, which we referred to as the business-as-usual case. Assuming continued execution, the $110 million uplift in 2020 will put the business in a position to realize further EBITDA improvements in 2021 and 2022, and to achieve the targeted $400 million EBITDA uplift in 2022. 
 Many of the initiatives Bernie will cover have already had measurable positive impacts on areas like consumer churn. Obviously, we have a long list of initiatives to implement in the future and to continue repairing the existing business. Second, we plan to maximize our potential for fiber investment by actively evaluating and planning new fiber builds across consumer, commercial and wholesale segments, which includes working to repair our relationships with these wholesale customers to make the segment a platform for network modernization. Our detailed plan for aggressively participating in RDOF will also aid in this transformation effort. 
 Third, we are exploring avenues to reconfigure our asset portfolio in a way that is optimal for our overall strategy. We'll seek to selectively monetize territories that may be less strategic and plan to evaluate innovative capital structure options to drive growth. We continue to evaluate the potential to minimize stranded costs, which, as everybody knows, in the ILEC business, are significant. 
 On Slide 12, we've included the bridge showing the components of the $400 million targeted EBITDA uplift in 2022. We continue to track initiatives and manage to this level of 2022 EBITDA uplift as compared to the business-as-usual case, which was meant to show the financial performance under a continuation of prior trends. 
 Slide 13 outlines these specific initiatives. Together with the Finance Committee, I've prioritized the agenda for how we are allocating our resources. Each week, the operating team is challenged to deliver a quantification of our progress against these initiatives, both in terms of percent complete and in terms of EBITDA uplift. We are pleased with the team's performance and the results of this work. To that end, we are able to share with you updates on 6 of these key initiatives today. While the level of detail here is much greater than traditionally disclosed, we believe slides, which Bernie will cover, provide valuable insight into the core underlying fundamentals and performance of the business. 
 While we've been able to see benefits from several of these initiatives, there continues to be a long list of priorities the team is evaluating or beginning to implement that should yield additional significant business improvements. As such, we believe that the business will be able to achieve the approximately $400 million EBITDA uplift over the business-as-usual case by 2022. And as already commented, we are presently on track to exceed the forecasted $110 million EBITDA uplift in 2020. 
 Lastly, on Slide 14, as mentioned earlier, we are planning to pass 40,000 to 60,000 new homes with fiber in 2020. These builds are expected to generate incremental EBITDA uplift on the order of $15 million by 2024, but they will also provide invaluable experience as we consider broader builds in the future. We'll be able to see near real-time results of our area choices and execution by measuring build costs, penetration and uptake, ARPU and bundling dynamics and more. 
 The company will be able to leverage the experience gained in 2020 to develop playbooks for future fiber-to-the-home rollouts. And with that, I'll turn it over to Bernie. 
Bernard Han: Thanks, Rob. And good morning or good afternoon, everyone, whichever it may be. I'm going to spend most of my time talking through the outline on Page 16. And then after that, I'll skim through the rest of the slides, which were created in a self-readable format. 
 So starting with the red box on the top left of Page 16. It'd be hard to discuss anything about the last quarter without addressing COVID-19. Besides impacting all aspects of our business, it consumed much of our attention for the better part of several months. 
 So our first priority, when it came to COVID, was the safety of our employees. Over the course of several weeks, towards the end of March, we physically transitioned most of our office and work center employees to working at home, where most of them still remain today. From our field technicians, the priority was to equip them with proper PPE and safety practices. For several weeks during the height of the no-contact rules, we stopped sending our technicians in towns completely. But with the relaxation of those rules, we have returned inside of home with the heightened safety practices. 
 As with everyone else, our employees have had their share of positive test cases. We've under-indexed the rate for the U.S. population overall. When employees have had positive tests, we rigorously followed recommended isolation and investigation procedures to ensure the safety of others, who may have been in contact with them.  
 Moving on to business practices. COVID impacted us in several ways. The first was respect to our delinquency practices. As you may know, when customers don't pay their monthly bill on time, our practice is typically to suspend their service until they're paid to current. Over the past few months, we and other telecom providers have followed government pledges and decrees to not turn off service when customers are unable to pay due to hardship introduced by COVID-19.  
 So as a result of that, we had to introduce new leniency practices, and we've been closely managing and monitoring a small universe of our customers, who have been delinquent in paying. The number of these customers past due but continue to receive service peaked at less than 0.5% of our total base and has been on the decline in recent weeks.  
 I also mentioned that we've stopped entering homes during the height of the no-contact practices. Because of the design of our higher speed fiber products, we were unable to sell anything more than 100 megabits per second during this time period. So in April, our fiber activations were down materially, but they have since returned closer to normal.  
 Our face-to-face selling channels and -- which include door-to-door sales and retail stores will take more time before they recover completely. As far as running the business is concerned, the management team has been operating remotely, which is actually nothing new for Frontier Communications. With the rate of change to our business having now subsided, we've returned our attention to the work at hand, which is fixing our business.  
 With that, I'll move to the top right aqua box on Page 16. Before we get into some of the more standard business initiatives that I'll talk about, I need to start with a number of foundational issues that need to be greatly strengthened at Frontier. These issues aren't the sexiest things, and they're not easy to quantify, and they don't provide quick returns, but they are essential building blocks to allowing many other initiatives to eventually be successfully deployed.  
 So within these building blocks include organization. I won't get into too much detail into organization issues, given that this is a public forum, but suffice it to say there's a number of things that need to be addressed. Some have already been talked about. Culturally, we need to shift the organization in several ways. We're a very complex business that have a lot of moving parts, need close coordination, and we're moving in that direction. And then we also need to focus a lot more on our existing customers. We have a mindset in our company, in most of our business segments towards acquiring new business, going after new acquisitions and the most valuable part of our base -- of our customers, our existing customers, and we need to focus quite a bit more on that front. 
 If we move on to -- so we've made some good progress on our organization, but there's still a lot more work to do there. If you move on to metrics and dashboards, no big secret, but to run a company well, you need to have the right set of metrics. We need to ensure that they're captured correctly and captured real time. And then you've got to monitor them closely to make sure the initiatives that are put in place are working as intended and to make sure that problems that come about are addressed very quickly.  
 And again, we've made some good progress on this over the last few months. A lot of it was driven out of necessity because of the uncertainty around COVID. But our work is not done. We still have a bit more work to do on that front.  
 Moving on to frontline communications. While it's important to keep an eye on the business via reports and dashboards, it's just as important to be in touch with our frontline employees. After all, they're the ones that have thousands of interactions every single day with our customers, either by phone or in person. They know which of our policies, which of our promotions, which of our practices make sense and which ones don't. And we, as a company, haven't utilized this very much in the past. Prior to the COVID shutdowns, we have instituted dozens of roundtables and town hall meetings with various employee groups in some of our larger cities. We learned a ton about what was not working and why they weren't working. With the COVID shutdown, that practice stopped for a while. But in the new work-at-home environment, we've recently resumed this practice using Microsoft Teams. And this may be a case where the practice that we've learned through COVID actually works somewhat better than even the practice before. We're able to do more frequent interactions now. We can reach employees at far reaches of our network that would have otherwise been hard to get in front of us.  
 The next area in building blocks is analytics. This has not been a strength of Frontier. So among our responsibilities as a management team of running the company to generate strong cash flow, a big responsibility of ours, is to make sure we ensure that our operating cash flows are invested prudently and wisely to ensure long-term success. Thanks to the hard work of our advisers, we now have good customer NPV and project buildout models in place. 
 And the last of our building blocks that I'll talk about is simplification. Simplification is one of the more important things in a telecom business. Because of our business being subscriber-based, that is old promotions stay forever in your customer base, unless you do something about it. And our business is constantly evolving because of technology and competitive forces, this naturally migrates to a state of disarray or a complexity. And this is going to be one of the bigger building blocks that need to be fixed. It will take a while to get this done, but we're going to make some good progress over the course of this year in getting that started. 
 And then before moving on to our major initiatives, I want to talk a little bit about our customer segments or revisit our customer segments in the bottom left. I think everyone knows, roughly half of our business is in our residential customer segment. So -- and then about 1/4 of our revenues are split between small business and enterprise, and we're working to redefine the lines of those a little bit to run the business more efficiently. And the remaining 1/4 of our business is in our wholesale part of our business. 
 So moving on to the initiatives on the bottom right. We have -- as Rob mentioned earlier, we've had literally hundreds of initiatives that are kind of on the plate that we're working on right now. And we put them into 6 major categories. The first of those categories is customer experience. We are in the customer experience business in telecom. And when it comes to that, our experience has not been good. And the best way to see that is through third-party surveys. Whether you look at J.D. Power or you look at ACSI, we are currently dead last in our ratings in customer service. So we need to do a lot better. Some of the causes are some of the things I mentioned earlier. We have had a short-term focus on results. We have had a lack of customer focus. We have a lot of things we need to fix, including call routing, call resolution, escalation paths. We need to do a lot to improve processes, to improve policies, and we need a lot of automation. And so we have a lot of initiatives lined up against that category. 
 The next area is churn. I mentioned that we don't focus enough on existing customers, and that all starts with churn. After all, I mentioned our existing customers are the highest value customers. We already have invested the acquisition costs of the stack in these customers. So it's just cash flow from there if you can keep them from leaving. And we look at churn in 3 different buckets based on the tenure of the customer. We look at early life cycle churn. We look at churn at the time of promotion roll-off, and then we look at longer-term churn. And so we have a number of initiatives that are in place right now, including a base segmentation initiative, so that we can differentially treat customers of different value. We need to put in place the right tools and guidelines for our agents to effectively save customers. And we need to have the right incentives for our agents to balance the rate at which they spend and the rate at which they save customers. 
 Our next set of initiatives relate to sales quality. In our business, every customer that we acquire is a mini investment in itself. We spend a decent amount of money in marketing dollars, commission expense, installation costs, hardware expense to acquire each and every customer. And we hope that, that customer will pay us back by paying their monthly service fees for the next several years to pay back that initial investment. If they make it that far out, eventually, that customer is a profitable customer. And if they don't, they're an unprofitable customer. If you look at our acquisitions over the last several years, nearly half of our new customers have churned by the time they reach month 18, and that's -- were never profitable customers. And those dollars, investment dollars were, thus, poorly spent. 
 The flip side of sales quality is obviously sales. When we're -- as we implement initiatives to improve sales quality, that will actually reduce sales. So we need to offset that with more initiatives to increase sales. That includes making sure that we target smarter, making sure that we get a higher return for the money we spend marketing.  Also, in addition to getting a sale, ultimately, there's a metric cost completion rate, which is the percentage of our sales that become installed and collecting revenues, and we need to make sure that we maximize our completion rate. We have a decent amount of fallout in our business between sales and install because of fallout in our back-end systems in terms of our data, and those are lots of opportunities for us to improve sales. 
 The next bucket is costs. And for the most part, I think, Frontier, we're pretty leanly run. I don't think we have tons of fat sitting around. We will go through a more detailed budget process this year than we have in the past. But I think there's 2 pockets of cost opportunity. One is just simply running better operations. A lot of our costs are things like phone calls and trouble tickets and other truck rolls. And oftentimes, we have repeats. We have transfer call, people bouncing back and forth. And if we can reduce repeat calls, repeat truck rolls, unnecessary calls, unnecessary truck rolls, there's some pretty significant dollars there. And so they involve a lot of initiatives, again, to fix the customers' problem and to fix it the first time and to do it right. 
 The other opportunity for cost reduction is probably on the video side. We have high COGS business on video and have not been as aggressive in the past at managing that bucket of spending. And we have some initiatives that we've already taken early this year, and we'll continue to try to work those costs down going forward. 
 And then the last bucket on Page 16 is investment. Rob talked about this already a little bit. We plan to pursue the RDOF program aggressively this year. And then we're also aiming to build to another 40,000 new households with fiber by the end of 2020, focusing in what we call the CTFC markets, California, Texas, Florida and Connecticut. 
 So moving on, I'm going to talk about some of the initiatives that have already been put in place. I'm going to skip through Page 17 because that merely summarizes what will be talked about in a little more detail in the following pages. So if you go to Page 18, you can see that our consumer churn at contract expiration has declined by 65% since 2019. This is largely a result of our soft-landing strategy, which is making price increases at expiration less dramatic. And then churn, immediately prior to and after contract expiration, has also declined since 2019. 
 If you go to Page 19. The combination of the previously mentioned soft-landing initiatives and other initiatives have driven a measurable decline in our churn. Fiber broadband net adds have actually been positive in late 2019. Besides our soft-landing initiative, we have increased outbound dialing to improve customer experience, and our 1G upgrades have increased service quality. All of these factors have contributed to declines prior to COVID, and then COVID additionally contributed to lower churn and gross adds as customers limited their moves and service changes during this time. 
 If you move to Page 20. Our video margins per subscriber have increased since early 2019 from about $19 in the first quarter of '19 to $23 to $25 in the first quarter of this year. Several initiatives have driven positive developments in these video economics. We've negotiated in drops on content packages. We've driven content cost reduction, and we've offset normal course increases. We have increased video prices more aggressively, driving down unprofitable video adds, and increased gross margins per subscriber. And we have further deemphasized video sales by removing sales incentives for general video gross activations. 
 If you go to Page 21. Working with Chris Bengele, who is leading our Enterprise Group, we're in the process of transforming our commercial sales force. We're focusing more on the existing side of our business and 2 -- on 2 fronts: One is keeping the backdoor closed, trying to control churn, which has not been a big focus, whether it was our residential business or enterprise business; and then trying to sell to existing customers more data products such as Ethernet circuits, where a lot of our base is heavy in phone services. And then, also, whether it's the existing customer side or the new customer side, putting a lot more focus on prioritization of the efforts. So focusing our sales efforts where it makes the most sense, where contracts are expiring, where costs are lowest for us, where there's the best competitive situation for us. And those are all things that Chris is putting in place. We have added 2 main types of reps, inside sales and account management, both focused on account management and churn minimization. 
 Moving on to Slide 22. We've built out our suite of next-generation services. These are effectively table stakes with our competitors in the commercial solutions market. UCaaS, SD-WAN and managed security solutions are the core offering and are expected to benefit Ethernet sales the most. Combined with our transformation of our sales force, these products are expected to drive pull-through sales of Ethernet and fiber broadband. 
 Moving on to Page 23. We've been actively working to repair and to improve our customer relationships in wholesale, and we're committed to becoming a more reliable partner for our modern Ethernet services in the future. We've hired Mike Shippey as the Head of Wholesale, and he's been leading this effort for Frontier. 
 And then last, on Page 24, as we talked about, besides RDOF, we're implementing a fiber-to-the-home program in the back half of 2020. Rob touched on this earlier. We're developing a plan to pass roughly 40,000 to 60,000 new homes with fiber this year. We're targeting dense areas that have attractive demographics and competitive profiles likely to drive low build costs and fast penetration ramps. As Rob said, these builds would add economic value themselves, but they also give us live feedback on results in the near real time. These builds will inform us about our future buildout decisions and serve as the jumping-off point for executing a broader build in the future. 
 And with that, I'll turn it over to Sheldon, who will talk about our first quarter results. 
Sheldon Bruha: Thank you, Bernie. I'll update you on our first quarter financial performance as well as a review of the recently closed disposal of our Northwest operations. 
 If you could please turn to Slide 26. First quarter revenue was $1.933 billion, down 8% year-over-year, driven by a 7.6% decline in total consumer and commercial customers, including 6% of broadband customers and 20% of video users. The decline in revenue was partially offset by our expense management. Our expenses were down $78 million over the last 12 months related to lower content costs and compensation costs, primarily in our field operations. Related to compensation costs, we ended the quarter with 800 -- approximately 880 fewer employees than at December 31, a 4.7% reduction in the workforce. A significant majority of the headcount reduction came from people taking early retirement in advance of our bankruptcy filing prior to the suspension of lump-sum pension payments during the bankruptcy. 
 The high level of lump-sum payments triggered pension settlement accounting during this quarter, which resulted in a charge of $103 million to net income. Two other key items impacted our loss in the quarter. We had restructuring and other expenses of $48 million, of which $37 million was related to the costs associated with our balance sheet restructuring. And lastly, we recognized an additional $24 million loss on the sale of our operations and assets in Washington, Oregon, Idaho and Montana, which has largely attributed to the business-as-usual CapEx for the 4 states during the period and the lack of any associated depreciation in the period, given their designation as assets held for sale. This continued to occur through the May 1 closing. Our first quarter adjusted EBITDA was $783 million for an adjusted EBITDA margin of 40.5%, a slight increase sequentially. 
 On Slide 27, we look at the components of revenue. Data & Internet Services revenue was down $35 million versus prior year, driven primarily by copper broadband customer losses, which declined 10% during the year, and by declines in wholesale legacy circuit revenue and wireless backhaul revenue that was only partially offset by increases in wholesale Ethernet revenue. 
 Our fiber broadband revenue and customers were essentially flat over the last 12 months as our customer base has recently been growing with the introduction of our higher speed broadband offerings and churn reduction efforts. Voice and Video Services revenues declined at double-digit percentage rates versus prior year. Voice revenue declined at 12%, a little higher than the 10% decline of Q4. The higher rate of decline was partially attributed to the lower FCC-mandated USF rates in the quarter. The decline in video revenue reflects not only the industry shifts to over the top, but also the impact of our strategy to deemphasize video attachments on broadband sales and improve customer value. 
 Looking at the view of revenue by customer type, consumer revenue was down almost 10% year-over-year, reflecting the trends on copper broadband, Voice and Video that I just mentioned. Commercial revenue for the quarter declined $60 million over the last 12 months. About 60% of this decline is related to our retail segment and 40% from our wholesale segment. 
 Please turn to Slide 28. Capital spending in the third quarter was $286 million. So the spending was a little under $100 million a month in the quarter. CapEx was a little low in the quarter, mostly timing related on some of the network build, and we expect that to catch up with a move through the year. But we also have lower acquisition CapEx due to lower customer acquisition activity in the quarter. We have been seeing a lower level of customers in play across our footprint, which is driving lower gross adds, but also lower churn, so little to no impact on our net adds. So we are attaining similar customer levels without the incremental acquisition costs. 
 We completed the deployment of 10-gigabit capability across our fiber footprint. This will support our commercial activities by enabling even more robust portfolio of Ethernet services and providing a road map for 5G backhaul. It also upgraded our consumer fiber-based broadband service capabilities and enabled our launch of 1-gigabit offerings in Q4 to nearly 100% of our fiber-to-the-home households. We are now marketing higher speed broadband services more aggressively, and our fiber subscriber trends have begun to benefit from this. 
 We continue our buildouts for the Connect America Fund, or CAF, with our builds completed to 614,000 locations in the first quarter. In addition, as a normal ongoing element of our capital spend, we built fiber to almost 8,000 greenfield locations in the first quarter, primarily housing developments within our footprint, on top of the over 30,000 households we built in 2019. And as mentioned throughout today's presentation, we are planning to pass an incremental 40,000 to 60,000 households with fiber in 2020, targeting high-return areas across the footprint. We expect to spend $50 million to $60 million in incremental CapEx related to this footprint expansion. 
 Finally, please turn to Slide 30. As has been discussed in this presentation, we closed the sale of our Northwest operations on May 1. The state represented about 7.5% of our Q1 revenue and resulted in $1.131 billion in net cash proceeds. The net proceeds included certain closing adjustments, including estimated working capital adjustments and certain debt liabilities, primarily auto capital leases for vehicles that we transferred in the sale. These 2 items totaled just under $30 million of adjustments. We also funded estimates for pension and OPEB liabilities transferred to the buyer, which represented about $135 million of adjustments. And we had $56.5 million of escrows related to contract indemnities as well as the finalization of these pension and OPEB and working capital calculations. We expect these escrows will be released to Frontier within the next 12 months. 
 There are a total of $127 million of indirect costs related to the Northwest states. These are costs that are incurred at the corporate level and then allocated to the states based on an allocation methodology. These costs include shared services, such as sales, customer and tech support, provisioning and billing collections. They include centralized network costs, such as backbone in the network operating center, and they include corporate G&A costs. As part of the terms of sale, Frontier has agreed under a TSA to continue to provide the buyer for a period of time with ongoing support related to these -- related to certain of these centralized allocated costs. Frontier will receive cash compensation from the buyer for such support after an initial grace period of 6 months.  Other centralized activities will not be required. And as such, we will be targeting to reduce the centralized costs associated with supporting these states. 
 Based on initial forecasts and expectations of duration of the TSA activities, we expect that we will gradually reduce the $127 million of indirect costs by over $80 million, leaving a little over $40 million of stranded costs by 2024. We've already made significant progress on this cost reduction. To date, we have either already eliminated or have firm plans or commitments to eliminate before the end of the year approximately $46 million of annualized costs. 
 Under the TSA, Frontier will support operational transition and provide various services for an initial rate of $5 million per month, which helps offset some of the stranded costs until the TSA ends. As this TSA support for the buyer is discontinued, we'll be targeting the elimination of the underlying costs involved in providing support in order to meet or even exceed our target reduction of $80 million of indirect cost savings. 
 This concludes our presentation. I want to thank you for joining today's call, and we look forward to updating you on our continued progress next quarter. 
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.